Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the MEG Energy’s 2022 Q4 and Full Year Results Conference Call. All lines have been placed on mute at this time to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Mr. Derek Evans, CEO. Please go ahead sir.
Derek Evans: Thank you, Michelle. Good morning everyone and thank you for joining us to review MEG Energy’s 2022 year end operating and financial results. In the room with me this morning are Ryan Kubik, our Chief Financial Officer; Darlene Gates, our Chief Operating Officer and Lyle Yuzdepski, our General Counsel and Corporate Secretary. I would like to remind our listeners that this call contains forward-looking information. Please refer to the advisories in our disclosure documents filed on SEDAR and on our website. I would refer listeners to yesterday’s press releases for more detail beyond the comments we've prepared for this morning. We're extremely proud of the safety, operating, and financial performance delivered by MEG in 2022. MEG's focus on safe, reliable, and sustainable operating performance has once again delivered strong results for investors. MEG achieved record production levels of approximately 111,000 barrels per day at an SOR of 2.2 in the fourth quarter and record annual bitumen production of approximately 95,300 barrels per day at an SOR of 2.36. We remain committed to ongoing debt reduction and share buybacks having repaid CAD1.3 billion of debt and bought back CAD382 million of shares to the end of the year using 2022 free cash flow of CAD1.56 billion. At year end, MEG had outstanding net debt of 1$ billion. On a go-forward basis, 50% of free cash flow will continue to be allocated to share buybacks with the remainder applied to debt reduction. This allocation will remain in place until $600 million net -- until the $600 million net debt target is achieved. These results were delivered through the dedication, hard work, and innovation of our entire MEG team. I want to congratulate and thank them for their milestone achievements. I'm going to continue with the call format we started last quarter and ask Darling Gates, our CEO -- our COO to speak to our operating results and ask Ryan, our CFO, who talk to our financial results. Before I open the call to questions, I'll provide an update on our Pathway Alliance efforts. Darleen, over to you.
Darlene Gates: Thanks Derek. As I mentioned last quarter, MEG is a leader in innovative and responsible energy development. Our team remains focused on safe, reliable operations from our Christina Lake asset. In the fourth quarter, we delivered strong safety, health, and environmental performance, no lost-time injuries, no recordable spills, and our lowest quarterly emissions intensity rate. This achievement is a credit to our team and contractor partners come to work committed to ensuring safety is our number one priority. As Derek mentioned, we reached a new quarterly production record of 110,000 barrels a day and this was achieved with a 9% increase quarter-over-quarter, a 10% increase above the fourth quarter of 2021, and it was also done with an improved steam oil ratio of 2.2. This milestone was made possible by high field and plant reliability, successful implementation of our optimized well designs, and the execution of short cycle high return drilling program. Strong quarterly performance allowed us to deliver full year production of 95,338 barrels per day, another record -- annual record and drove non-energy unit operating costs to $4.73 per barrel despite unprecedented levels of inflationary pressure on labor, chemicals, and material costs. As we move into 2023, our Q1 production outlook is approximately 107,000 barrels per day, which reflects reduced facility throughput that will be optimized during our second quarter turnaround. Full year production guidance remains unchanged and our team has an intense focus on preparations for the turnaround. This turnaround carries a full year impact of 6,000 barrels per day. Our CAD450 million capital development program is off to a fantastic start and is supporting our strategy to extract the highest value of our top tier asset. I am excited and confident that our focus on safety, culture, and operational excellence will continue to deliver long-term value for our shareholders. With that, I'll hand it over to Ryan to discuss the financial performance.
Ryan Kubik: Thanks Darlene. The 10% production increase over the third quarter of 2022 delivered by our MEG team, combined with higher crude oil prices, helped generate CAD1.9 billion of adjusted funds flow or CAD6.26 per share in 2022. Our cash operating net back in the year rose to CAD63 per barrel, up from CAD33 per barrel in 2021, largely reflecting a 49% increase in our bitumen realization after net transportation and storage expense. Sales at the US Gulf Coast rose to 66% of blend sales in 2022, generating $1.17 per barrel uplift in our blend sales price relative to the Edmonton AWB index. Higher crude oil prices in the year, however, were partially offset by increased operating expenses and royalties. Operating expenses net of our revenue rose to CAD7.91 per barrel, mainly due to increased natural gas prices. Crown royalties also rose to CAD6.43 per barrel, reflecting a higher WTI price and revenues as well as a pre-payout royalty formula. We do want to remind investors that Christina Lake reaches payout status in the first quarter of 2023 and will transition to a higher net revenue royalty at that time. After funding CAD376 million of capital expenditures in 2022, free cash flow rose to CAD1.6 billion from CAD0.5 billion in 2021. That free cash flow allowed us to reduce our net debt to $1 billion and significantly improved MEG's balance sheet strength. We remain focused on our next net debt target at $600 million and will continue to return capital to shareholders through our share buyback program. That program reduced MEG's outstanding share count approximately 7% in 2022 as we bought back CAD382 million or 20.7 million MEG shares. Today, our Board of Directors approved the filing of an application to renew our NCIB program and that will allow us to buy back up to 10% of MEG's public flow over the next year. With those 2022 results, MEG enters 2023 in strong position to execute our strategy. Combined with our outlook and favorable crude oil prices, we are in a strong and optimistic position as we enter the new year. I'm now going to hand it over to Derek for some closing comments.
Derek Evans: Thanks Ryan. MEG remains committed to its long-term goal of reaching net zero Scope 1 and 2 greenhouse gas emissions targets by 2050. In early 2023, the corporation replaced its mid-term target of reaching a 30% reduction in Scope 1 and 2 greenhouse gas emissions intensity from 2013 levels by 2030 with the mid-term target of reducing its absolute Scope 1 and 2 greenhouse gas emissions by 0.63 megatons per annum by year end 2030, representing a reduction of approximately 30% absolute emissions from 2019 levels. On the Pathways' front, I'm pleased to share that MEG and our Pathways Alliance Partners are making significant progress in advancing the early work to build one of the world's largest carbon capture and storage facilities. The goal of this unique alliance and project is to support Canada in meeting its climate commitments, positioning Canada as a preferred global supplier of crude oil and to achieve net zero greenhouse gas emissions from oil sands operations by 2050. In the fourth quarter, MEG and its Pathways Alliance peers reached a significant milestone entering a carbon sequestration evaluation agreement with the Government of Alberta to start a detailed evaluation of its proposed geological storage hub. This detailed work enables the alliance to establish the suitability and capacity of the CCS storage hub. This work is required to continue to advance our project to the next stage in the regulatory process. Significant amount of work is underway with the Pathways Alliance as we progress feasibility studies, environmental assessments, and early engineering work for carbon capture -- this quarter, carbon capture and storage program and also advance other technologies. Conversations with the provincial and federal governments about their role in partnering with us to advanced decarbonization efforts continue to go well. As I bring my remarks to a close, I once again want to extend my thanks to our team for their commitment and perseverance. I'm proud of what we've been able to accomplish and confident in our future and our commitment to sustainable, innovative, and responsible energy development. On behalf of MEG's Board of Directors and our management team, I want to thank you for your continued support. With that, I'll turn the call back over to Michelle to begin the Q&A.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question will come from Patrick O'Rourke at ATB Capital Markets. Please go ahead.
Patrick O'Rourke: Hey guys, thanks for taking my question this morning. I guess just wanted to kind of take a look at operations here. You had 111,000 barrels a day of production in the quarter, you're talking about 107,000 in Q1. A year ago, we would have been thinking about this as an asset with 100,000 barrels a day. Of nameplate capacity, sort of what's your view in terms of the right steady state or run rate production out of this asset is? And then I know you've talked in the past about some potential, I know the focus here is return of capital on the -- pardon me, the balance sheet. But you've talked about some sort of debottlenecking or incremental capital that you could spend like steam generating units that might be very capital efficient, sort of what that might look like and also if that could have any impact, positive or negative on the royalty structure here?
Derek Evans: Hey Patrick, it's Derek. I'm going to let Darlene talk to sort of where she sees steady state production at. I'll take the future capital, and I'm going to ask Ryan to deal with the -- would any future capital be incremental on the royalties? So, Darlene, over to you.
Darlene Gates: Okay. Thanks Derek and thanks, Patrick, for your question. I would start with anytime you take an asset like ours to that positive step change in production, you're moving into a new operating environment. And as you move into that new operating environment, you see some new constraints with our treating facility. We've been quickly incorporating those learnings to adjust and we'll have that optimize if there's anything that we can't get done before the turnaround, we'll have that fully optimized during the turnaround. When I look at steady state, I think you're seeing that type of production. Our development plan, as I mentioned in the notes, has been doing an outstanding job for us, our operating strategy has been to spring the results and we're confident to continue that progress and moderate growth in this asset.
Derek Evans: Patrick, I'm going to take that future capital part of that. You are aware that we have a co-gen and we have two once-through steam generators that are sitting in inventory in various levels of completion that we could bring to a project. I think the easiest way to think about this is there is a runway to 120,000 barrels a day over the next two to three years. We've got capital in our budget for 2% to 3% sort of incremental growth. And clearly, at some point in time, we'll definitely want put those once-through steam generators and potentially that co-gen to work as part of that. As you think about though the capital -- our dollar per flowing BOE that we would need to bring to the table, I think there's two critical points here, sort of, what I call long-cycle capital, so new well pads we would look to develop in that CAD20,000 to CAD25,000 per flowing BOE. But one of the really interesting things that we've been able to develop at MEG in the last little while is what I call short-cycle recompletion opportunities. And those are wells that we're re-grilling, rehabilitating on existing pads that are typically have CAD2,000 to CAD3,000 per flowing BOE type of cost. So, very incremental and those have been a big part of our success to-date. So, I hope that covers off sort of where we could go, what we're going to do, and Ryan's going to tell us whether or not we can actually use those to reduce our royalties.
Ryan Kubik: The quick answer is yes, we are moving to a net revenue royalty. So, all the capital expenditures in the future will be deductible off of revenue and calculating net revenues for that royalty formula going forward. Any capital we spend in the Christina Lake area is ring-fenced by that project. So, you will see that play into the royalty economics. I guess the other point to note is that we are unlikely to transition back to a minimum or a gross revenue royalty. These capital expenditures won't be large enough to kind of move us to that point. We will continue to pay likely net revenue royalties.
Patrick O'Rourke: Thank you very much.
Derek Evans: Thanks Patrick.
Operator: Your next question comes from Neil Mehta at Goldman Sachs. Please go ahead.
Nicolette Slusser: Hi, good morning. This is Nicolette Slusser on for Neil Mehta. Thanks for taking the question. So, just first on Pathways and understand there is an incremental update here in 4Q on an evaluation agreement with the government of Alberta. But if you could just talk a bit more about the agreement and any additional key milestones we should be watching out for in 2023 as it relates to progress around the project?
Derek Evans: Sure. Nicolette, thank you for the question. The evaluation that we -- agreement that we entered into -- Pathways entered into in October of 2023 provides us with the opportunity to go out and evaluate the suitability of the reservoir. So, as you go back through and you look at some of the projects that have failed in the carbon capture and sequestration area, they tend to fail in two areas; one in terms of the capture component and the second would be the storage component. What we're dealing with here is the evaluation of that storage component and its suitability. And we need to prove to the Alberta government that it's got the injectivity, it's got the permeability, and the ability to store the CO2 that we are proposing to store it in. The unique thing about this particular reservoir, it's one in which we're already storing CO2 in the province. And it's one in which there has been a great deal of disposal activity sort of produced water. So, as we work through this and we provide that government of Alberta with that data, we don't think we're going to have any surprises. And once we've got that work done, we'll move to the next phase, which is the granting of a license to -- from the Alberta government.
Nicolette Slusser: All right. That's very helpful. And then the follow-up here would just be on WCS and the differential has tightened up a bit here more recently. But wanted to hear your thoughts around where you see the spread tracking in near-term and then any insight you can provide as well around MEG's expected Gulf Coast exposure in 2023?
Derek Evans: So, it's tightened up quite a bit from our last conference call where the differential was blowing out, but we've seen that differential almost fall in half. This morning, we're looking at WCS prices among the Gulf Coast of $8 a barrel. And those would have been as high as $22 a barrel earlier on. So, we've seen a big decrease. And fundamentally, the reason we believe that is happening and based on our intelligence on the US Gulf Coast is Chinese demand has picked up substantially and we can see increased loads across the dock heading off to Asia and that has tightened the market up and we expect that will continue to tighten the market up as we move into turnaround season and lower supply being available to be shipped out.
Nicolette Slusser: All right. Very helpful. Thank you.
Derek Evans: Thank you.
Operator: [Operator Instructions] Mr. Evans, we have no further questions. I'll turn the call back to you for any closing remarks sir.
Derek Evans: Thank you, Michelle and thank you everybody that joined us this morning for our 2022 year end conference call. We're excited about what we've been able to achieve this last year and look forward to updating you on our operational performance and return on capital program when we release our Q1 results on May 1st. Thank you and have a great day.
Operator: Ladies and gentlemen, this does conclude your conference call for this morning. We would like to thank everyone for participating and ask you to please disconnect your lines.